Operator: Thank you for standing by ladies and gentlemen, and welcome to the Danaos Financial Corporation Fourth Quarter 2014 Financial Results. We have with us today Dr. John Coustas, President and Chief Executive Officer and Mr. Evangelos Chatzis, Chief Financial Officer of the Company. At this time, all participants are in a listen-only mode. There will be a presentation, followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded. We now pass the floor to one of your speakers today, Mr. Chatzis. Please go ahead, sir.
Evangelos Chatzis: Thank you, operator, and good morning everyone, and thank you for joining us today. Before we begin, I quickly want to remind everyone that management’s remarks this morning may contain certain forward-looking statements and that actual results could differ materially from those projected today. These forward-looking statements speak as of today and we undertake no obligation to update them. Factors that might affect future results are discussed in our filings with the SEC and we encourage you to review this detailed Safe Harbor and risk factors disclosures. Please also note that where we feel appropriate, we will continue to refer to non-GAAP financial measures such as EBITDA, adjusted EBITDA and adjusted net income to evaluate our business. Reconciliations of non-GAAP financial measures to GAAP financial measures are included in our earnings release and accompanying materials. Now, let me turn the call over to Dr. Coustas, who will provide a broad overview of the quarter.
John Coustas: Thank you, Evangelos. Good morning and thank you all for joining today’s call to discuss our results for the fourth quarter 2014. Danaos is reporting an another solid quarter with adjusted net income of $23.5 million or $0.21 per share, which is higher by $8.5 million or 56.7% when compared to the $15 million or $0.14 a share of adjusted net income for the fourth quarter 2013. The Company’s profitability improved between the two quarters through $13.5 million improvement in net financing costs together with $1.3 million improvement in operating costs despite a decrease in operating revenues. The decline in operating revenues between the two quarters mainly reflects, $2.4 million related to softer charter market conditions and $3.9 million attributable to the reduced charter hire on six of our vessels following the previously announced the restructuring of Zim. The trend of improving financing costs and as a consequence, earnings, will continue through 2015 as we continue to reduce leverage and benefit from the expiration of expensive interest rate swaps. As of December 31, 2014 we recorded an impairment charge of $75.8 million in relation to eight 2,200 TEU vessels built in 1997 and 1998, being prudent on the evaluation of our assets and our balance sheet metrics. This charge has been adjusted accordingly in our adjusted net income calculations as analyzed within our earnings release. As previously announced, during the fourth quarter we continued the execution of our fleet renewal program with the acquisition of two 6,402 TEU containerships built in 2002. On the container market front we see positive signs of a more balanced demand / supply relationship. The recent charter rate improvement on Panamax vessels, which have suffered the most during the prolonged weak market, is definitely a sign that the market is balancing. Lower oil prices have also had a positive effect, which has been evidenced by the return to profitability for all the major liner companies. This positive development is particularly important for us since counterparty risk improves as our clients return to profitability. We continue to maintain our strong 97% charter coverage in terms of operating revenues, which insulates us from market volatility and the timing of the recovery. Additionally, our $5,669 daily operating cost for the fourth quarter clearly positions us as one of the most efficient operators in the industry. We will continue our efforts to de-lever our balance sheet, manage our fleet efficiently and capitalize on the resilience of our business model towards creating value for our shareholders. With that I will hand over the call back to Evangelos who will take you through the financials for the quarter. Evangelos?
Evangelos Chatzis: Thank you and good morning again. I will briefly review the results for the quarter and then give the chance to the participants of the call to place questions. During the fourth quarter, we had an average of 55.2 containerships, compared to 59 containerships during the fourth quarter of 2013. As previously mentioned on this call, we have added two 6,400 TEU containerships in our fleet during the fourth quarter of the year by utilizing a substantial portion of the sales proceeds of the five vessels that we sold earlier in the year. We currently do not have any vessels on lay-up. Additionally, as previously mentioned at the end of the year, we recorded an impairment charge of $75.8 million on eight of our oldest vessels which has been adjusted within our adjusted net income calculations. Our adjusted net income was $23.5 million, or $0.21 per share for the quarter higher by $8.5 million or 56.7% when compared to the $15 million or $0.14 per share of adjusted net income for the fourth quarter of 2013. This improvement is largely attributed to a $13.5 million improvement in financing costs together with a $1.3 million improvement in operating costs despite a $6.3 million decrease in operating revenues between the two quarters due to the softer charter market, the lower average number of vessels in our fleet between the two quarters and the effect of the Zim restructuring. The trend of improving financing costs is set to continue further in the coming quarters, as we continue deleveraging and expensive interest rate swaps continue to expire. As a measure of this, we would like to note that our adjusted net income for Q4 of 2014 that currently stands at $23.5 million would have been $49.1 million or $0.45 per share, if the current interest rate swaps that are expiring within this year had already expired. These swaps start expiring this year through the end of 2015 and as a result, we expect a gradual consistent improvement in financing costs over the next quarters, given the market expectations for persistingly low LIBOR interest rates. With our average charter duration of 8 years, well exceeding the one-year remaining duration of the swaps, we believe we will be able to take advantage of the anticipated low LIBOR environment on the back of solid contracted income generation. Operating revenues decreased by 4.3% or $6.3 million to $140.7 million in the fourth quarter of 2014 compared to $147.0 million in the fourth quarter of 2013. As previously discussed $3.9 million of this decrease relates to the Zim restructuring while the remainder relates to a $2.4 million decrease relating to lower rechartering for two of our vessels that came of three year charters that have been fixed of higher rates than the charter rates offer in today’s market. Vessel operating expenses decreased by 8.9% or $2.7 million to $27.8 million in the fourth quarter of 2014 compared to $30.5 million in the fourth quarter of 2013, mainly as a result of the shale of the order vessels in our fleet whose contribution in daily operating expenses was higher than the fleet average. The daily operating cost for the current quarter was $5,669 per day, 5.8% lower than the $6,019 daily operating cost for the fourth quarter of 2013 and still remains one of the most competitive daily operating expense figures in the industry. G&A expenses increased by $0.6 million to $5.5 million in the current quarter from $4.9 million in the fourth quarter of 2013, mainly as a result of $0.6 million increase in stock compensation between the two quarters. Interest expense decreased by 14% or $3.1 million to $19 million in the current quarter compared to $22.1 million in the fourth quarter of 2013. The decrease in interest expense was mainly due to lower average indebtedness between the two quarters of $221 million to approximately $3 billion in the current quarter from $3.2 billion in the fourth quarter of 2013, as well as a decrease in the cost of debt servicing between the two quarters, mainly attributed to the accelerated amortization of our fixed rate debt, which bears a higher cost compared to our floating rate debt. Realized losses on interest rate swaps decreased by $10.2 million to $26.5 million in the current quarter compared to $36.7 million in the fourth quarter of 2013. This decrease is attributed to way ahead of the $72 million lower average notional amount of swaps between the two quarters as a result of swap expirations. Finally adjusted EBITDA decreased by 4% or $4.3 million to $104.5 million in the current quarter from $108.8 million in the fourth quarter of 2013. this decrease is mainly comprised of $6.3 million reduction in operating revenues as analyzed previously on the call, partially offset by $1.3 million improvement in operating costs. With that I would like to thank you for listening to this first part of our call. Dr. Coustas and I will now take your questions. Operator.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Omar Nokta of Clarkson Capital. Please ask your questions.
Omar Nokta: Thank you. Hi Dr. Coustas and Evangelos. I wanted to ask about the write down $78.5 moil. Just a couple of questions about that you know you are being a bit proactive considering those ships are in charter into 2017, 2018. One is there any impact on your lending agreement because of the write down. And then two, is there – are you guys gearing up to sell vessels on a roll off contract?
John Coustas: So first of all there is no impact at all, because in any case with the lending agreements we're always based not on book, but in market values and in any case as far as the lending agreements are concerned, there is absolutely no issue in terms of covenant and its exactly because we do not really have any issue with our lending agreements that we decided to manage our balance sheet a bit more efficiently and to be proactive in the write-down. I mean we could have really done nothing to be honest, but we decided that it would be really a much more fair representation to take the write-down at this stage. There is no kind of immediate sort of selling the ships is just I think sure proactiveness in terms of our presentations.
Omar Nokta: Okay. Thank you, that’s helpful. And then just wanted to switch gears and just ask about the latest two acquisitions those the 6,400 TEU ships those are on charters that roll off at the end of or I think in March this year. What’s your sense on what charters and your thinking on those two vessels? Do you see them being extended say six months a year is there a potential for beyond that?
John Coustas: We’ll see when the time comes in general ships like that are getting at this moment with this state of the market, they are getting let’s say six to 12 months kind of charters. So we will wait to see really how the market develops in March, April when let’s say these vessels come near to become open. And because we expect really that the market is going to be firming up, we are not particularly in a rush to do any arrangements at present. I mean we have very recently fixed one of our baby Panamaxes that we are getting open at rates, which were something like 30% higher than expiry. And we think that is very good sign, which will also holding the kind of the larger segment.
Omar Nokta: Okay, thank you. That actually the last comments lead into my next question, and we noticed in your vessel listed - about three vessels that were extended for between maybe six months and a year, would you say that 30% bump across those three is what we should be modeling or should we assume something a little lower?
John Coustas: I’m talking specifically on the ships - on two ships that we have maybe Panamaxes’ that we have rechartered in the last let say eight months or so.
Omar Nokta: Okay.
John Coustas: The previous ones that we have extended let’s say the one that we did let’s say for example in November were practically flat that these ones were considerably higher.
Omar Nokta: Okay, and then sorry, not to get too granular, but just looking at say for instance the Derby D that is listed and I think that the ship next to the Deva are those that you are referring to as recently be encrypted at a higher rate?
John Coustas: Yes.
Omar Nokta: Okay, all right. Thank you. Thanks very much for the time.
John Coustas: Thank you.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of Mark Suarez of Euro Pacific Capital. Please ask your question.
Mark Suarez: Hi, good morning, guys. Thanks for taking my questions here.
John Coustas: Hi, Mark.
Evangelos Chatzis: Hi, Mark.
Mark Suarez: And as we head into 2015, obviously your cash flow profile should improve meaningfully given the interest savings and of course the swap expires through year end. And I’m wondering you have this increased liquidity if you will, what is your strategy in terms of acquisitions I know you guys have been purchasing at least as of late post Panamaxes, sort of in that segment. What is your thinking with regards to any potential acquisitions over the next 12 months?
John Coustas: Well, we have to see really how things develop. I mean for the time being the acquisitions that we have done were basically on kind of an exchange basis which means that we’ve sold let’s say older ships and we’ve used the proceeds to invest in newer tonnage. It wasn’t - really we haven’t used our cash flow for acquisitions, I mean our cash flow goes straight into debt repayment and for the time being we will continue on this kind of strategy because as we said its going to be mainly leveraging into our size, but for growth purposes if we find some let’s say accretive projects. I think we will consider seriously to go into the markets.
Mark Suarez: Okay. That’s fair enough and as we pass let’s say the interest explorations I mean you know there is a lot of cash savings there, let’s say past 2015. At what point will you say the board will consider restating dividends, do you have any catalyst and hurdles that you are thinking of in terms of sort of on a grand – on a higher level that will patrol you guys to restate dividends as your swaps expire and you continue to leverage your balance sheet.
John Coustas: Yes, I mean we have let’s say and it’s also in our filings that’s we can consider paying dividends the moment that our debt to EBITDA goes below six. We are pretty near to that but not yet there and once let's say this is done then we will have to consider what’s going to be really our policy.
Mark Suarez: Okay and then just turning to macro question, I know you mentioned we’ve seen Panamax rates actually accelerate over the past three months on an year-over-year basis accelerate scrapping is sort of one of the main catalysts, but at the same time we have actually seen the post Panamax rates on a year-over-year actually in fairly stable I think since December and I’m wondering what do you think is driving that economy if you will, also the supply dynamic, do you see the sustain - Panamax demand as sustainable in your opinion or how will you reconcile the two?
John Coustas: Well Panamaxes today are let's say used for upgrading various services and I mean we have seen particularly for example west Africa has been one of the more pronounced areas of such kind of usage that we have seen let's say moving up from the 3000 TEU to the 4250 and this is also happening in some of other services in Asia, in intra Asia. I think its people forming liner companies find an opportunity I mean to upgrade the service, because even at these numbers I mean these ships are very cheap and the economies of scale that they provide compared to the smaller vessels is higher, so they find an opportunity I think to really to trend a bit of their costs.
Mark Suarez: Okay, great. Well that’s it from me and thanks for your time again.
John Coustas: Thank you. Thank you, Mark. End of Q&A
Operator: Thank you. [Operator Instructions] There appear to be no further questions at this time sirs. Please continue.
Evangelos Chatzis: Well again, thank you all for joining this conference call and for your interest in our story. We look forward to host you our next earning call. Thank you.